Mike Henry: BHP delivered a strong set of financial and operational results for the past half. But before I talk about results, I must acknowledge the tragic loss of one of our coworkers, Luke O'Brien, at our BMA operations in Queensland in January. We are deeply saddened by this loss, and our thoughts are with Luke's family, his friends, teammates and the broader BMA team. We are redoubling our efforts to reinforce our culture and controls when it comes to safety. In the last half, BHP has again delivered for our shareholders and communities with strong operational performance and disciplined cost management, enabling us to announce a dividend of USD 0.72 per share. We also paid USD 5 billion in taxes and royalties in the half. Looking across our operations, our Western Australia Iron Ore business remains the lowest cost producer of iron ore in the world. Copper production increased by 7% with a record half at our Spence mine in Chile, higher production at Escondida also in Chile, and strong performance in South Australia. Performance in our steelmaking coal business was hampered by wet weather and significant maintenance, and lifting production is a focus for us in the second half. As with others in the industry, we saw lower global nickel prices, and we're taking action to reduce the impact of these market forces on our operations.
David Lamont: We've delivered a strong set of underlying financial results in the first half of the year, underpinned by solid operating performance. Underlying EBITDA increased by 5% to USD 13.9 billion and added a margin of 53%. Including taxes and royalties of USD 5 billion, our effective tax rate was 41%, resulting in underlying attributable profit of USD 6.6 billion and our return on capital employed of 26%.
Mike Henry: BHP's strong overall operating performance is only possible thanks to our people and the support of our communities. This half, the number of female employees at BHP increased again to over 36% as we push towards our gender balance aspiration. Diverse teams are safer and more productive. We continue to make progress on our climate change goals, including signing an agreement with Rio Tinto and BlueScope to pilot technology to remove more emissions from steelmaking process. This half, we sanctioned Stage 2 of our Jansen project in Canada, which will create the world's largest potash line, set to deliver more of this important fertilizer needed to support sustainable food production. We're on track to increase Western Australia Iron Ore production to over 305 million tonnes per annum in the medium term and are studying options for growth up to 330 million tonnes. We're advancing multiple copper options in Chile and South Australia. And we further focused our metallurgical coal portfolio on the higher quality coals increasingly preferred by our customers. Our portfolio is strong and our pipeline of projects and the people who will deliver them position us to benefit from the global megatrends that are shaping our world now and will do so for decades.